Georgiana Radulescu: Hello, everyone. Welcome to our Quarterly Results Presentation. My name is Georgiana Radulescu, I am heading Investor Relations here at Tomra and with me today I have Tove Andersen, CEO and Espen Gundersen, CFO, who will take you through the results. The presentation is live from our headquarters here in Asker, Norway. And you have the possibility to ask questions by using the Q&A tools, which is embedded in the webcast. Because there is a small lag between the presentation and the webcast, we encourage you to send your questions during the presentation and we will address them towards the end. With those being said, I will give the word to Tove.
Tove Andersen: Good morning and good afternoon, everyone and thanks for joining our webcast. It’s a great pleasure for me to present another good quarter for Tomra, a quarter where we then report record high revenues and EBITA. In the quarter, our revenues were NOK3.050 billion. This is up 16% versus the same quarter in 2020. We saw good growth in all the three divisions. Within Recycling and Mining, we will be standing out with an increase of 51%. On our gross margins, we were slightly down 1 percentage point to 44%, mainly due to some increased costs linked to supply chain shortages. Our operating expenses increased with NOK78 million in the quarter to NOK794 million. This is driven by increased activity level due to growth and also us coming out of the pandemic situation, but also because we are investing more in future-oriented activities as we are ramping up to address new segments and markets. This then resulted in an all-time high EBITA of NOK535 million. We also had a strong cash flow from our operations in the quarter of NOK658 million. Our order intake were up 6% to almost NOK1.3 billion and we did so see a positive momentum in most of our segments that we operate in. This also means that we are entering into 2022 with a strong order backlog. So, our order backlog is currently NOK1.7 billion, which is then 25% higher than the order backlog that we entered 2021 with. In the last quarter presentation, we did talk about supply chain challenges, especially linked to electronic components. This challenge has continued into Q4. Our focus and strategy has been to really ensure that we are delivering on our commitments to our customers. And we have not really seen any significant delays in our deliveries. However, that has then cost that we have had some increased cost linked to this in the quarter. The Board has decided to propose an ordinary dividend of NOK3.3 per share for 2021. This is up then from NOK3.00 per share last year and an extraordinary dividend of NOK2.70. The Board also proposed to the AGM to do a split, and split our share in two and if that is going to be approved, it will then be effective from late May. Let me then go through the different divisions and give you a business update. Tomra Collection had a good quarter Q4 last year, with Slovakia being the main growth driver. Slovakia went live with a new deposit return scheme January 1 this year and we did ramp up our activities than second half of 2021 both building an organization and installing the RVMs in the retailers. A few key facts on the Slovakia DRS system, it’s approximately 1.3 billion containers, which also then have 2,000 collection points in the country, where the consumer can come and deliver in the containers. They have set quite an ambitious collection target that they want to achieve 90% by 2025 and to incentivize the customers and the already consumers, they have implemented deposit value of NOK0.15. I have been very impressed by the organization on how we have established our setup in Slovakia. The system is now up and running and live and we have been able to achieve a robust competitive position in the market. Then some comments on other regions and markets in Collection. A look at Northern Europe and Germany, we have been at similar activity levels this quarter to previous quarters. We have seen fairly stable volumes in North America and Australia and we have had the activities linked to ramping up in Latvia. Latvia went live with deposit return system now February 1 and we were then in Q4 last year establishing the organization also installing equipment in the market. Latvia is a throughput model, which means that the income side or the revenue side and from operating that market will only materialize in this year. And we do also have had increased activities and ramping up in other markets. And on the right hand side of this slide, you will then see an update on new deposit markets. I will briefly go through it. So, in the Netherlands, they are expanding the current DRS system, including the aluminum cans that will be implemented by end of this year. Romania announced in Q4 that they will implement a DRS system with targeted end of this year. However, the date is uncertain due to government changes. Quebec is looking at modernizing their system and we expect that to be implemented late this year or 2023. Ireland has approved legislation on DRS, but they have not communicated yet the go-live date. Scotland came in the quarter with an updated date for their implementation of their DRS system and the implementation date is now set to be August 16, 2023. In Victoria and Tasmania, there are processes now to prepare their DRS system. We expect that to be implemented during 2023 and when they have implemented DRS, Australia will be then the first continent, where you have DRS in all the states of the continent. Connecticut is also looking at upgrading their existing system. They are expanding it to more beverage containers. But also they have decided to increase the deposit value, which is important to drive the incentives for the consumers. And also in the quarter, Australia announced that they will implement deposit return system on single use beverage containers, with a planned implementation date of January 1, 2025. So, we have a very promising pipeline of new markets coming up in Collection. But of course, there are uncertainties linked to the actual timings. Recycling and Mining had a strong quarter, Q4, 2021 with an increase in revenues of 51% and an increase of order intake of 39%. One of the key drivers is high raw material prices and we see that both within plastic and in the metal segments. High raw material prices drives incentives to then recycle more material, but also what we do see in general is an increased momentum within circular economy and different companies and business, looking at how they can really increase the recycled content in their products. And if you look at this graph here, which is the graph on pricing of PET, both virgin and recycled PET, it sort of illustrates both things. You will see the significant increase of raw material prices, by seeing the increase of both during the last year, but also you see the difference between recycled PET and virgin PET where actually today recycled PET is valued higher than regular PET, showing the increased demand for recycled content. A highlight in the quarter was the launch of our deep learning application in the Wood Sorting segment. We have been selling equipment into wood sorting for more than 10 years. We have had the technology where we are separating inert material, material like stone and glass from wood. However, what we have developed now is really a deep learning algorithm that is then an add-on to our flagship product in this segment out of sort. And what this deep learning algorithm does is that we don’t only then sort out the inert material, but that we can sort out or we can sort with fractions into different qualities. So for example, we can sort out unprocessed wood with processed wood. And why is that important? For example, if you want to produce chipboards, you can’t have MDF together with unprocessed wood, you need to be able to take out the MDF. So, this is then an algorithm that can enable that. So, it enables then more accurate sorting into different quality fractions, so that it can be recycled into new materials. And this is very exciting. It’s a first of a kind of offering in the industry and it looks very promising. Then over to food, the good momentum in food is maintained in the quarter. And also we do see global trends like labor shortage and increased salary inflation as driver for increased demand for automation. So, while the market demand remains strong, we also have seen that the order intake is somewhat down in the quarter, somewhat linked to that there has been delays on the customer side due to uncertainty on the supply chain issues or long lead times from other suppliers. So however, from our side, we have not seen any significant delays in our deliveries towards the customers. Then a highlight in the quarter within the Food is the launch of our Field Research Center in Hamilton. When we – as part of our food strategy, there are two key strategic pillars, it’s customer centricity and there is category focus, crop focus on the type of crops that we are sorting and the establishment of this Field Research Center is a response to improve in both those areas. So, this is then setup in Hamilton in New Zealand and what is interesting here is that we have in the same location all the different elements needed to really drive product development. We have 2 hectares of land where we can then grow different types of crops and because of the climate there is a wide variety of crops we can grow. We have product design facility, we have cool storage. We have a facility for full test simulation or packaging lines, et cetera. So, we can really simulate an environment that is similar to what our customers have, to really drive customer-centric innovation. We also have at this facility engineers and data scientists and it is the home of our food science program. This is where we are developing machine learning algorithms, deep learning algorithms to improve the accuracy of our sorting. For example, we have established now a library for blueberries of 250,000 pictures that are improving the sorting and the accuracy of the sorting of our blueberry sorting equipment. So, this is a very important and exciting development and it’s a good showcase on how we are putting together cross-functional team in a very customer-centric approach to drive innovation to have really category-specific optimized solutions. Then that was what I had planned to present. So, I’ll then hand over to Espen that will go through the financials and outlook.
Espen Gundersen: Thank you, Tove. As always, a quick look at currencies, some headwind this quarter compared to the same quarter last year. So, 5%, 6% on average, negative effect on the different line items, which is reflected on the right columns in the following slides, in total, as Tove said, all-time high revenues, up 16% from last year. All divisions are contributing. But in particular Recycling Mining stands out at 51% growth. The gross contribution is slightly down, stemming from Collection and Food, which will come back to on the different units as well. Operating expenses are up 14%. Initiatives in all divisions for future growth, particularly on the ramp up side in Collection and circular economy in TRM, but bottom line 13% up, which is also all-time high with NOK535 million, in Collection, a healthy 9% growth on top line. Northern Europe is down, but still a decent quarter, because we are comparing us with the best quarter ever in Northern Europe from 2020. The rest of Europe is the driver for growth this quarter. Slovakia had commencement January 1, 2022. So we had a raise in Slovakia during the fourth quarter. It’s partly offset by the Netherlands that as you might remember introduced deposits on the small plastic bottles package July 1, 2021, and they started their raise all the way back to fourth quarter last year. So consequently, some of the positive effect is offsetting the negative effects from the Netherlands. On the gross contribution or gross margin, we are down 2 percentage points from same quarter last year. Again, last year stands out as an unusual high fourth quarter, going back 39% and 40% is what we have consecutively report for fourth quarter in almost 10 years. So, that’s kind of the normal level. But that again said, we do have costs related to sourcing and freight. We – as we have communicated previously also, has to take additional cost to make sure that we are in a position to deliver. And Tomra has a very clear policy to deliver according to plans and in fourth quarter, we have 99.5% delivery position in Collection, which is down from 99.9% usually, but still a very high figure, illustrating that despite challenges on the components and so on, we are willing to pay the extra go, the extra mile to deliver, but that has some influence on the margins. And in total, NOK100 million has been the kind of additional COGS during the year, related to components and freights, over and above what’s more normal and it will have a 2 percentage point influence on the margins for the year and also for the quarter, if it wasn’t for those. Operating expenses 17% increase. Latvia is in there with close to NOK15 million as a ramp up cost related to preparing for that markets going live in 1st February, 2022, and we also have several other initiatives ongoing now. In 2021, we have had the six new countries, which we established ourself in, which do currently not generate and/or at least very limited revenues. So, the ramp up cost, the running ramp up cost will going into next year, be around NOK150 million per year, which is over and above what I’d say normal when comes to preparation for future markets. It’s up from NOK100 million, which has been that the run rate previously. On Recycling and Mining, we are slightly above, we came in slightly above our indication from last quarter. As I said, 51% growth on top line. All geographies are performing well. The margin is stable and I mean, I think the gross margin. OpEx is increasing because of higher activity preparation for future growth and also the circular economy initiative is in here, but a good drop through with 75% increase in EBITA, which came on in at NOK178 million. On the order intake side, we had a good quarter, 39% up from same quarter last year. And with a record high revenue, the order backlog is as usual going somewhat down from third quarter to fourth quarter, but still 33% up from same quarter last year. So, it’s a good momentum into first quarter ‘22 in TRM. We expect that we will have a conversion ratio of 60%, meaning that the revenues in first quarter ‘22 will be approximately 60% of the current order backlog. As always, this is not guiding but an indication to those of you that want to model us on a quarterly basis. In Food, we came in at NOK938 million on top line, 11% up, also slightly above our indication from last quarter. Some freight and supply chain disruptions influencing the margin negatively. But still not very material, coming in at 43% gross margin compared to 44% last quarter or quarter last year. Very good cost control. So, we are almost flat on the OpEx side. So, despite somewhat lower gross margin, we managed to deliver unchanged EBITA margin of 15% and NOK145 million in EBITA. As Tove mentioned, we had a 10% reduction in the order intake, some about timing, there also are COVID restrictions and effects, that’s a negative for us. The fares that we are depending upon are still few and far between. So, this is together with the other disruptions that other suppliers to our customers are experiencing, making some postponements. But we mainly look at this more as a timing thing and not as a trend in that respect. When it comes to the order backlog, it’s still 19% up compared to last year, which is a good start for the ‘22, first quarter ‘22. Balance sheet and cash flow, all-time high cash flow this year. So in general, a strong cash position. We have, looking at our balance sheet, increased working capital with around 20% in fourth quarter versus fourth quarter. At the same time, revenues up 16%, explaining most of this, we have very round figures, NOK100 million of inventory that will be moved to fixed assets as related to Latvia when they commence during first quarter, which also will have a positive effect on the working capital. And in general, we are satisfied with the situation. The inventory isn’t generally higher, but it’s also partly linked to the supply situation that we are somewhat more cautious and do not – and are prepared and ready, when it comes to sourcing. And the equity percent now stands at 53%. We have a very low gearing of 1.6 and we actually do not have more interest bearing debt to pay down if we didn’t start to buyback our own bonds, which is not part of the plan, so we see cash is increasing and consequently, the Board is proposing an extraordinary dividend on top of ordinary dividend, reflecting the very strong cash position in Tomra. We have not doubt significant plans for the future that also needs – requires financing but with today’s balance sheet and the lot of say – sorry, and a lot of the recurring revenues and cash flow generating from our business, we do not see any challenges on delivering upon our short and mid-term needs with the structure we have today. And consequently, there is room for an extraordinary dividend this time. The Board also, as Tove mentioned, will suggest the split of the share based upon the fact that the Tomra, the price per share of the Tomra share is higher than most of the companies at the Oslo Stock Exchange. So, I think it’s actually only four or five on the main list, that has a higher price per share and that’s reflected in that suggestion. Yes and as I said, good position financially, NOK1.5 billion of unused credit lines as of year-end. Outlook. On Collection, as always, the timing of new markets is important and we have currently high activity related to the preparation for new markets and we are very optimistic looking at all the things that’s supposed to happen late ‘22 and in particularly in ‘23, but as mentioned previously also, first and second quarter this year, we do not have any major events coming up. Latvia will commence 1st February, but as it’s a throughput market, it doesn’t generate significant revenues from the start. In Recycling Mining, with the conversion rate, Tove indicated, it will be a healthy growth in the first quarter ‘22 and we are definitely optimistic on the outlook and the macro drivers are working in our favor. Also in Food, we see a decent growth based upon the indicated commercial retro. And we are optimistic on the mid and long-term outlook in this segment, as restrictions are supposed to easen. On supply chain and logistical channels in general, we have experienced more or less the same situation during fourth quarter as we have during third quarter and the situation is not very changed from how it looked 3 months ago. We will continue to honor obligations and take the cost when needed to make sure that we deliver upon our obligations toward our customers and there is a cost attached to this. I mentioned the NOK100 million related to collection. And we also have similar cost in the other divisions. Inflation is also the topic. Components, freights, energy, salary all are creating inflation. It has done during the fourth quarter and expected to continue into first quarter and we of course need to compensate and balanced it by raising prices. We have done that and we will continue to do that. I mean, rather successful so far. But of course it will also create potential pressure up on the margins. We are however confident on the long-term outlook and our financial targets on 18% EBITA margin stays firm, but how this turns out in the months and quarters to come, remains to be seen also, but so far we have been successful in passing the prices over to our customers and definitely will continue doing that in the months to come. On the currency just mentioned that we always are subject or influenced by currency fluctuations. Today, it looks like first quarter would not be very influenced compared to first quarter last year, but there are still 1.5 month left on that quarter. So, with that, I think we conclude the outlook. Just one slide. It’s been 4 years since our last Capital Markets Day and we are looking forward to inviting investors and other stakeholders to our plant in Koblenz in June, where we will give a thorough update on current status and all the future plans we have and please, save the date for an exciting day.
Tove Andersen: Thank you, Espen. And then before we go into the Q&A, I wanted to say a few words because as many of you know, this will be the last quarter presentation from Espen as CFO of Tomra. Espen took over as CFO in Tomra, May 2002. So, and I suspect Espen that you never have missed a quarter presentation. So, if I counted correctly, this means that this is your 79th quarterly presentation for Tomra. And the company has gone through a tremendous development in this period, which has been almost 20 years. So, the revenue has increased from NOK2.7 billion to today around NOK10.9 billion. The number of employees has more than doubled. The company has gone from being mainly on reverse vending machine with Europe and North America as a key markets and to really be a global technology leader in circular economy. And you, Espen, you have been essential and fundamental in the key strategic evaluations and decisions that has been made, but also in the implementation of it. But also in addition to that, you have been a true role model in the organization, a person that people look up to both for your competence, but also really your personality, a true role model for the values that we have in Tomra, but also a person that is appreciated for your very good humor. So, you will definitely be missed and we’re sad that you’re leaving, but also we’re very happy that you will stay on until the end of 2022. So, Eva Sagemo will take over as of March 1, as a role of CFO, but Espen will stay on until end of 2022 to ensure that we will have a good transition. So, on behalf of all employees in Tomra and our Board, we just want to thank you a lot for all your contributions in these two decades.
Espen Gundersen: Thank you, Tove. It’s been a privilege to be part of a great team and I – but I’m leaving assured that we have – you will take very good care of the company. We have a great management in place with Tove and also Eva that will be my successor. She has been with Tomra for many years and truly living the Tomra values and understanding our business, also, Tomra is definitely in safe hands, but every 23rd year, I think it’s good to move on. So, I will pursue a career as board professionals for the next years, so I am looking forward to that. So, thank you.
Tove Andersen: Okay, Georgiana, over to Q&A.
A - Georgiana Radulescu: Thank you, Tove. We can move onto the Q&A. We have a number of questions that already came in. So, the first question is from Aurelio Calderon from Morgan Stanley. Good morning. Would you be able to discuss the main drivers of the margin compression in collection? How much was it due to investments? And how much due to inflationary pressures?
Tove Andersen: Maybe that is for you.
Espen Gundersen: Yes. I saw that question come in, but I think we answered most of it also with the components and freight, that’s really adds up to 2% there, which – and the far – the biggest part of it is the component part. So, if we had not – not had this additional cost, we would have reported the same margin as we had in fourth quarter last year and maybe a slightly above also actually.
Georgiana Radulescu: Thank you. The next question is also from Aurelio. Is there dual sourcing for all the components or are you exposed to a single supplier for certain components? How effectively can Tomra pass on price increases to customers?
Tove Andersen: Yes, so I can start and then you can elaborate a bit, Espen. So, when we entered into this situation with shortages on components, we did actually have single sources for certain components. We have been working through the period to really find alternatives and found alternatives where that was needed and of course, going forward, a part of our strategy is to make sure that we have a robust supply chain base, where we also we then have dual sourcing on significant or very important components. On price increases, this is of course I think also Espen covered I think in his presentation and we are of course working hard to then pass on the increases that we see in our cost base to customers. Do you want to add something Espen?
Espen Gundersen: Yes. No. I think that covers it pretty well. I will address some questions about price increases and in general, I think there are several sources of the inflation that we currently see. If you try to break it down, it’s somewhat about material costs, but then again that the price per kilo of our machines are rather high. So, it’s not mainly about material cost, but it a part of that. It’s also something about salary, but in general, we do not touch our machines for long time, two hours, three hours. So generally, that is more final assembly that we do. So, it’s not mainly about salary, but that’s – it’s part of it. Energy is increasing. We are not very energy intensive, but it’s also part of it. What is most important is probably components. We are selling technology and components, semiconductors in particular are the one most important driver on the cost side, efficient point at one. But all-in, let’s say we are facing a 3% to 5% cost increase on the sourcing cost today and there are COGS. And that’s also what we are kind of in average is currently increasing prices to offset this.
Georgiana Radulescu: Thank you. The next question is from Ole Bang-Andreasen from Tower House Partners. Can you elaborate on the drivers for the growth in recycling mining and how should we think about momentum going forward?
Tove Andersen: Yes, so I think I said a bit on that in the presentation. So you know, a key driver is the raw material prices and we do see high raw material prices, both in the plastic and the metal segment. But also we do see a significant momentum in general within the circular economy space, you can just follow, a lot of companies launching new targets on recycle content as part of their actions to reduce climate change. So overall, we see actually good demand momentum in all segments that we are operating in and we expect that to continue going forward.
Georgiana Radulescu: Thank you. The next question is from Pete Moon from Alpha Capital. Could you possibly quantify the size of the food sorting market?
Tove Andersen: Yes. So, the food sorting market for us today is a fairly small segment, only representing NOK1 million to NOK2 million. However, of course, if you look at the potential market here, it is significant, so that’s why this is an interesting development that we hope will contribute to the growth going forward.
Georgiana Radulescu: Okay. The next questions are from Kristian Spetalen at Arctic. Sorting order intake. Could you please elaborate on the order intake growth, which we found to be a bit weak, sorting backlog conversion for Q1 2022? Could you elaborate on the weaker than average historical expected backlog conversion for Q1 2022? And then the last question is, does the ordinary dividend per share reflects the EPS outlook for 2022? So, a number of questions in one. I think they are most for you, Espen.
Tove Andersen: You can take that.
Espen Gundersen: Yes, I think the order intake was good in recycling mining, so the question is related to food and I think both Tove and I elaborated upon that one, so that – maybe that question came before we presented it. So, I don’t think it should be needed to give further perspective on that one. Sorting backlog conversion is weaker, it’s not really – it’s more or less the same that we had in the first quarter last year. So – but that again is somewhat lower than we had years before that and it’s still probably in the TRM, in recycling. I think it’s more a reflection of somewhat larger orders which take a little more time – we get little more time between signing and execution. And in food, it’s more about these disruptions that we still to some extent see. So, that explains why we are still at the same conversion ratio that we were 1 year ago. And there is nothing in the dividend that you can interpret any forecast for the EPS in ‘22. It’s also – it’s 40% to 60% of the earning is our what we pay out of dividend, but that’s 40% to 60% of the 2021 earnings. So, there is no intention to give any signals on the outlook through that dividend payment.
Georgiana Radulescu: Thank you. The next question is from Daniel Haugland at ABG. Order intake slightly up in recycling mining, but down in Food. Could you shed some light on the drivers behind the decrease in food. You mentioned trade fairs. Has there been any of this since 2020 and how is the outlook on the fairs?
Tove Andersen: Yes, so I think we answered kind of on the first part, elaborating it. And of course, as we are coming out of COVID, the fairs are coming back. So for example, this big food logistics fair, which is an important one will happen in Q2 this year. So – and we expect, as the pandemic is hopefully ending, unless there are significant other surprises there, that this will then increase again. And yes, they are scheduled ones that will be key for us to attend.
Espen Gundersen: Previously, we reported sorting as one segment. And then we saw that there could be quarters as one segment was up and one segment was down, but in total, it was moving in the right direction. And as we split up and provide more granularity and transparency around this, you will also see that on lower segments, the fluctuations between quarters could be – actually be significant, it’s a little about timing of orders also. So, don’t interpret too much into that is at least my suggestion.
Georgiana Radulescu: Thank you. The next question is also from Daniel from ABG. Could you give some color on the dynamics between costs and prices in your pricing models? Do you automatically raise prices at given intervals, for example, New Year’s or how does that work?
Espen Gundersen: It’s very dependent up on the divisions and the segments. And in collection, we have some our largest contracts, it is more frame contracts and that’s more annual or biannual revisions. In the other divisions, it’s more price lists, so that you can update regularly at year-end or during the year. And so we are more free to change prices as we want to. So, of course, year-end will always be a time for revising the price lists, but there are also possible to do that during the year. And we do have some situations where it’s lagging a little bit before we can do it because of long-lived contracts.
Georgiana Radulescu: Thank you. We have one question here from Stefan from T-Online, which I believe we have answered during the presentation. Which countries will be introducing reverse vending machines in the next few years? So, that we elaborated on in the collection section.
Espen Gundersen: Yes, we can maybe just adding on what we said there, because at the slide, we show the markets that there are new development and this is, it’s closer in time. But behind this, as many of you know, there is the single-use plastic directive stating that 77% increasing to 90% of all bottles in EU should be returned for recycling. And to our knowledge, there are no other ways to get even close to those targets without introducing deposits. So, that’s meaning that most or almost all countries in Europe that currently do not have deposit are in the process to look into how they should be compliant with the EU regulators and 2025 is the first deadline in that respect. So, there are many countries which is not on the list here that do also have processes in place, but it’s not mentioned there because they do have not yet communicated a clear plan and the data related to it. So, the list is significantly longer than we show on that slide.
Georgiana Radulescu: Thank you. The next question is from Daniel from ABG. How is the R1 introduction in Germany progressing?
Tove Andersen: Yes, so R1, they might not be that everybody listening knows what R1 is, but that is our multi-feed reverse vending machine that we launched last year and also gave good growth in some of the key markets, especially in the Nordics during 2021. And we are progressing with those sales of R1 in Germany and we have implemented or installed several of the machines in the market.
Georgiana Radulescu: Thank you. The next question is from Eric Wistrand from Anaxo. Can you indicate the level of ramp-up operating expenses you expect in 2022, for example, related only to growth initiatives and not supply chain issues or COGS inflation, if possible, by segment? Thank you.
Espen Gundersen: Yes. The ramp-up is usually an expression we use for collection since there, it’s extraordinary costs that we now take related to preparing for new markets, some mentioned and some not mentioned establishing ourselves out being there preparing ourselves. So, the ramp-up is related to collection. And we have been trading or have a run rate of NOK100 million for the first half of 2021, and now it is increasing to closer to NOK150 million. So, we have reached a new level and that’s hitting our OpEx. And that’s what you will have in inventory next year.
Georgiana Radulescu: Thank you. The next question is from Paolo Mortarotti from Tower House. The first textile recycling plant is now running with your technology. Can you comment on the outlook for textile sorting and whether textile recycling lends itself to dedicated RVMs?
Tove Andersen: Yes, so textile is a very interesting market. If you look at textiles today, very little of the textiles are recycled. Some is reused, but most of it ends up on landfills or in incineration and estimates show that almost 10% of global climate emission is linked to textile production. So, this is a significant and if you look then at recycling, almost nothing recycled. So, this is one of the big issues that need to be solved. And then you need our solutions both for collection and sorting of the textiles into different fractions. And we have, as part of our sorting technology, the possibility then to sort different textile fabrics into the right quality, so that it can be recycled. So, it is an interesting segment that we are looking into. Also, increased pressure on the textile industry and also, the EU is now looking at coming with an updated strategy for sustainable textile manufacturing and value chains, which is expected to come also during the spring. So, it’s an interesting segment that we will continue to look into.
Georgiana Radulescu: Thank you, Tove. I see that we don’t have any more questions. So, we are ready to conclude the Q&A and the session for today. Thank you all for following us and for listening in. Bye-bye.